Operator: Good afternoon everyone, and thank you for participating in today's conference call to discuss NV5's Financial Results for the Fourth Quarter and Full Year ended December 29, 2018. Joining us today are Dickerson Wright, Chairman and CEO of NV5; Michael Rama, CFO of NV5; Alex Hockman, President and COO of NV5; and Jenna Carrick, Investor Relations Manager at NV5. I would now like to turn the call over to Jenna Carrick.
Jenna Carrick: Thank you, Operator. Before we proceed, I would like to remind everyone that this conference call may contain forward-looking statements within the meaning of the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995, including statements concerning future events and future financial performance. The Company cautions that these statements are qualified by important factors that could cause actual results to differ materially from those reflected by the forward-looking statements contained herein. All forward-looking statements are based on information available to the Company on the date hereof and the Company assumes no obligation to update such statements except as required by law. I would like to remind everyone that a webcast replay of this call will also be available via the link provided in today's news release and the Investors section of the Company's website. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of NV5 Global Incorporated is strictly prohibited. We will begin the call with comments from Dickerson Wright, Chairman and CEO of NV5; and Alex Hockman, President and COO of NV5 before turning the call over to Michael Rama, Chief Financial Officer for a review of the fourth quarter 2018 and full-year financial results and outlook for 2019. We will then open the call for your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you, Jenna and thank you to everyone joining us for NV5's fourth quarter and full year 2018 conference call. We are pleased to announce a very successful 2018 year for NV5. Our success can and should be measured by specific accomplishments. We improved in all areas of operations and over our 2017 results. Michael Rama, our CFO will provide more detail on our financial accomplishments. However, as an overview, I would like to say that total revenue increased 25% over full year 2017 to a record $422 million. Organic revenue growth for the full year was 8%. EBITDA or earnings before interest, tax, depreciation and amortization was $53.1 million for 2018 or 16% of net revenues compared to $40 million or 15% of net revenues for 2017. Adjusted earnings per share for 2018 was $3.24 compared to $2.93 per share in 2017. This is noteworthy because share count for 2018 increased to 12.4 million shares compared to 10.9 million shares in 2017. Cash flow increased 99% to $35 million for 2018, compared to $18 million for 2017. We are accomplishing these positive results by continued process improvement for our existing business unit, as well as process improvement for our acquired entities. We have internal robust cross-selling between all of our offices, we incentivize and reward our people for their accomplishments in this regard. We also support company-wide initiatives to improve our performance, fuel our growth and improve our overall results. For 2019, we have two specific initiatives that are fully supported by NV5. The Energy 2021 initiative is a three-year plan that will capitalize on NV5's core competencies in electrical distribution, gas transmission, and the conversion of natural gas to liquefied natural gas or LNG storage. The acquisition last year of CHI Engineering Services, not only strengthens our competency in this area, but leads us to new markets and opportunities. The other Company wide initiative for 2019 is our focus on energy optimization. The previous acquisition of Energenz leads us to many opportunities in this area. Energenz is a leader in subscription-based services in the area of energy efficiency. We also continue to be very active in acquisitions. In 2018, we made four very successful acquisitions that were strategic and strengthening our existing verticals and also introduced our services to new geographic markets. At the beginning of 2018, we acquired Butsko Utility Design which has strengthened our electrical delivery services to our growing utility client base. We also acquired CSA (M&E) Limited in early 2018. CSA is a well-regarded long-tenured entity providing mechanical, electrical engineering design services in Asia. CSA deepens our service and business recognition in Hong Kong and has provided senior leadership for our growing Asia preference. During the latter part of 2018, we acquired CALYX Engineers and Consultants. This acquisition introduced NV5 to the rapidly growing infrastructure and transportation markets in the Southeastern US. In the fourth quarter of 2018, we acquired CHI Engineering Services. CHI specializes in engineering and EPC services to utilities and their use and storage of natural gas. The conversion from natural gas to liquefied state or LNG has opened many doors for NV5 to expand our energy services platform in this existing growing market. I would like to now introduce the President of NV5, Alex Hockman. He will comment with more specificity on our national operations and projects. Alex?
Alexander Hockman: Thank you, Dickerson, and good afternoon everyone. In addition to the acquisitions, you have mentioned Q4 highlights include key hires that have expanded our technical areas of expertise and geographic coverage. This is particularly important for our power group, which has a nationwide platform and we have expanded our production centers in California, Texas, Colorado and Pennsylvania. We have continued to invest in our collaborative software initiative to promote work sharing and cross-selling and concluded 2018 with almost $11 million in cross-sold services. This value represents revenue that would have been sub-contracted but will not be recognized as net revenue. The importance of this transition is that our most public sector projects markets are not permitted on sub-contracted services. Therefore the cost is a pass-through without associated profit. Considering the significance of converting pass-through revenue to net revenues, NV5's Chief Synergy Officer committed to doubling the amount of contracted services in 2019. Cross-selling is not limited to sub consultants but also includes introducing our wide array of technical services to existing clients. In Q4, for example, it includes our construction testing group introducing our buildings safety, consulting division to a prominent California developer that is constructing a landmark projects that includes Class A office space, iconic hotels and other amenities. As a result of NV5's participation, the developer is able to fast-track the plan and check in code manual read instructions on one phase of the project. The result of this collaboration has a potential to reduce the construction schedule by several months and to minimize inspection delays due to our dedicated onsite staff. Other key wins that demonstrate our value-added and trusted advisor services include our power delivery group $26 million contract amendment for providing fire hardening services to a Southern California utility. This amendment brings our total fire hardening contracts to $28 million over the past two years. The services provided under this contract are designed to protect the public by reducing the fire threat associated with power transmission lines, and is a testament to our delivering solutions improving lives mission statement. Our power delivery group was also awarded a $25 million contract to provide engineering design and serving - services for natural gas transmission, distribution and pipeline integrity services. Due to NV5 diverse range of services, we're able to provide these offerings in-house, which allows us to have tighter controls on quality and ensure timely delivery. Our buildings and technology program management group was awarded over $15 million and large contracts including the Colorado School Board contract in excess of $5 million, in addition to other contracts in the hospitality and healthcare markets. While the new casino market is still flat, NV5 was awarded a contract for MEP and fire protection services in excess of $1.8 million for a casino-resort expansion project. NV5's infrastructure vertical continues to grow organically with large contract awards in our East and West regions and we are expanding our geographical coverage, leveraging our urban engineering and design expertise. So notable events include a $5.7 million project for our sliver program management team in California for an HOV laying a bridge replacement. A $2.2 million amendment for a contract for a major state road interchange and a contract valued over $900,000 for a reverse osmosis water treatment plant. Our International team with offices in Asia and the United Emirates continues to win impressive projects, including an appointment on a feasibility study for the Hong Kong Mass Transit Railway. A contract for the duty free shops mall in the Four Seasons Hotels in Hong Kong, which is a continuing service line that we have provided throughout airports internationally. NV5 was also awarded the Sans-Macau Mainland Replacement Project which is a very challenging major plant replacement projects that requires operations maintain 100% around the clock. And in the UAE, we were awarded a contract for a 2,500 pupil school, which will be the United Arab Emirates most advanced campus, utilizing the world's leading engineering technology. I would now like to turn the call over to our Chief Financial Officer, Michael Rama for a more detailed overview of the financial results for the fourth quarter and for year ended December 29th, 2018 and financial guidance for 2019. Michael?
Michael Rama: Thank you, Alex, and good afternoon everyone. First, I will review the results for the Company's fourth quarter and full year 2018, and then I will provide an outlook for 2019. Gross revenues in the fourth quarter of 2018 were $115.3 million, a 23% increase compared to gross revenues of $93.9 million in the fourth quarter of 2017. Net revenues for the fourth quarter of 2018 were $88.5 million, an increase of 21% compared to net revenues of $73.2 million in the fourth quarter of 2017. These increases were due to organic growth of 5% as well as the contribution from acquisitions closed during 2017 and 2018. EBITDA for the fourth quarter of 2018 was $15.8 million or 18% of net revenues, an increase of 34% from $11.8 million or 16% of net revenues for the fourth quarter of last year. Net income in the fourth quarter of 2018 was $7.7 million, excluding the impact of the 2017 Tax Reform Act, net income increased 38% from $5.6 million in the fourth quarter of 2017. Net income including the impact of the 2017 Tax reform was $11.5 million in the fourth quarter of 2017. Fourth quarter 2018 adjusted EPS, that is excluding the impact of amortization of intangible assets was $0.91. Excluding the impact of the 2017 Tax reform, adjusted EPS increased 28% from $0.71 per share in the fourth quarter of 2017. Adjusted EPS including the impact of 2017 Tax Reform was $1.26 per share in the fourth quarter of 2017. Fourth quarter 2018 GAAP earnings per share was $0.62. Excluding the impact of the 2017 Tax Reform, GAAP earnings per share increased 22% from $0.51 per share in the fourth quarter of 2017. GAAP EPS including the impact of 2017 tax reform was $1.06 per share in the fourth quarter of 2017. Our fourth quarter 2018 adjusted and GAAP earnings per share reflects weighted average shares outstanding of 12.4 million shares for the three months ended December 29th, 2018, compared to weighted shares outstanding of 10.9 million shares in the fourth quarter of 2017. The increase in weighted average shares outstanding reflects the issuance of 1.27 million shares of common stock from our secondary offering in August 2018. Now, we'll review the year-to-date results for the full year 2018. Gross revenues for the full year 2018 were $418.1 million, an increase of 26% when compared to the full year 2017. Net revenues for full year 2018 were $334.3 million, an increase of 25% from full year 2017. These increases were due to organic growth of 8% as well as the contribution from acquisitions closed during 2017 and 2018. EBITDA for the full year of 2018 was $53.1 million or 16% of net revenues, an increase of 34% from $39.7 million or 15% of net revenues for the full year of 2017. Net income for the full year 2018 was $26.9 million. Excluding the impact of 2017 Tax Reform, net income increased 48% from $18.1 million in 2017. Net income, including the impact of 2017 Tax Reform was $24 million in 2017. Adjusted earnings per share for the full year 2018 was $3.24. Excluding the impact of 2017 Tax Reform, adjusted EPS increased 36% from $2.38 per share for 2017. Adjusted earnings per share including the impact of Tax Reform was $2.93 per share in 2017. GAAP earnings per share for the full year of 2018 was $2.33 per share. Excluding the impact of 2017 Tax Reform, GAAP earnings per share increased 39% from $1.68 per share in 2017. GAAP earnings per share including the impact of Tax Reform was $2.23 per share in 2017. Our year-to-date 2018 adjusted and GAAP earnings per share reflects the weighted shares outstanding of 11.5 million shares for the full year of 2018 compared to weighted average shares outstanding of 10.8 million shares for the full year of 2017. The increase in weighted average shares outstanding reflects the issuance of 1.27 million shares from our secondary offering in August 2018. As of December 29, 2018, our cash and cash equivalents was $40.7 million compared to $18.8 million as of December 30, 2017. Cash flows from operating activities for the full year of 2018 were $35 million compared to cash flows of $17.6 million in 2017. At December 29th, 2018, we reported backlog of $390 million, an increase of 32% from $296 million as of December 30, 2017. Our backlog is an estimate of revenues to be recognized over a rolling 12-month period. Now moving onto our outlook for 2019. We are initiating 2019 guidance for revenues and earnings per share. We expect full year 2019 gross revenues to range from $485 million to $520 million, which represents an increase of 16% to 24% from gross revenues in 2018 of $418 million. We expect net revenues to range from $385 million to $414 million, which represents an increase of 15% to 24% from 2018 net revenues of $334 million. We expect full year 2019 adjusted earnings per share to range from $3.51 to $3.93 per share, an increase of 8% to 21%. We expect full year 2019 GAAP earnings per share to range from $2.44 per share to $2.85 per share. This guidance excludes any anticipated acquisitions for the remainder of 2019. This completes our prepared remarks and now we'd like to open the call up to your questions.
Operator: [Operator Instructions] Our first question comes from Mr. Jeff Martin with ROTH Capital Partners.
Jeff Martin: Could you go into - could you let them - and also, Alex. So could you go into some of the key hires that you alluded to on the call. What areas those are in and what kind of the primary goals and objectives tied to those key hires, maybe?
Dickerson Wright: Well, let me start, Jeff, let me speak to the key hires, of course, that have come through acquisition because we are really looking for - to integrate these people and have leadership from them. So, we had specific key technical and manager hires in our Southeast infrastructure division where we really, and I don't want to name any individual names, personally, but we've had four key hires that have really strengthened us at our service offering and in geography that we were in. In our LNG space and which is really expanding our services to our utilities which is in the EPC work, the founders and principles of CHI, both license engineers have really added depth to us in that regard. In Florida, we have a special initiative going where we'd really strengthen that market with key geo-technical engineering hires and we look for that. In Southern California, our electrical distribution came, the leadership came from - the strength in that leadership came from acquisitions of Butsko engineering, which we thought really added a strength to us. And then I alluded that in my overview comments on Asia, we are very, very pleased with what's going there and was really strengthening in that and the acquisition of CSA really has provided not only recognition but leadership, the key principles there have really helped in solidifying those operations that we've had in Asia. But I really differ to Alex's as far as some on hires and - that we fight attrition and what we've hired are non-acquisition related.
Alexander Hockman: So, some of the key hires, Jeff, that I had referred to is in Florida. We do have a manager who is working with a national firm that is now responsible for our Florida operations. Dick had alluded to, we have now established a geo-technical presence in Central Florida that also strengthens our power delivery geo-technical services. We have also hired an architect for our facilities management in New York City, and we've also expanded our power delivery group with key hires that allows us to really address power delivery on a - at a national platform. As you're likely aware, we initially had our power delivery here primarily focused in Southern California, and now we have truly expanded to power delivery on a nationwide platform.
Jeff Martin: And then could you give us a sense of how you're competing on contracts when there are competitive bids now versus maybe a couple of years ago, you've scale dramatically. Just curious if you're finding an easier process there? If you're more competitive than in the past and what your experience has been over the past year?
Dickerson Wright: Well, let me speak initially and then I will also defer to Alex on that. You've heard me say and many of our conference calls and meetings that we've had, Jeff, and we speaking to investors. We run, we have a very flat organization, we really strive to keep our key best people in front of the client. So obviously as we grow, we now can compete with these leaders in geographies that we were not before. So, we are finding that we're competing very, very strongly now in the Southeast where we weren't before. We have strengthened our work in competition in New England and New Jersey and New York and also in the Midwest. Places that came to us through an acquisition that we can now put those leaders, and so that's given us a competitive advantage. We do not have much really competitive bid on price, we do have a lot of qualifications based on our bids or our cues called which are called based on the qualifications of people, but not so much on price. But as far as our footprint and our competitive advantage, I'll let Alex maybe speak a little bit to that.
Alexander Hockman: So, in terms of our ability to respond to a request for qualifications or SOQ, and RFPs, one of the things that has taken place is, we have the ability now to basically use our entire US footprint as opposed to the expertise of a particular operation that they had at the time of acquisition. So specifically, one of the areas that I mentioned is our urban engineering group. Actually, we won a project in the city of Oakland, I'm not just using the particular skill set of the California, but really using the entire technical standards that we have and the technical ability that we have company wide. The same is happening in power delivery, the way in which we're marketing a client doesn't have to change, we're able to take the entire technical skill set of our power delivery group and present it in a proposal because as we also mentioned, we have the collaborative software that we've invested in. So we're able to much more seamlessly use the technical resources that we have in a particular location, and we're not restricted to only using the folks that are actually in that particular area where the work is being performed.
Jeff Martin: And then Mike, wanted to just see if there's any additional clarity you can provide on the accounting side with the material weakness mentioned in the press release?
Michael Rama: Yes, it was a material weakness related to the internal control deficiencies over initial set of projects in our enterprise system and really the adequacy of certain documentation for a percentage of completion contracts. We've already been proactive in addressing the issues and being able to put a remediation plan together, starting with our project managers and training, additional training as well as enhancement of certain of our project management software that we're utilizing.
Jeff Martin: Is there an expected timeline for the remediation to be effective?
Dickerson Wright: Yes, we expect to - we're working on the remediation and we're expecting to have it completed during the - during 2019. At this point that's we're at. Then, none of our historical financials nor current financials were impacted in the results of thereof.
Operator: Our next question comes from Rob Brown with Lake Street Capital Markets.
Rob Brown: First on your outlook, the organic growth expectations in your outlook, what are they and sort of how is the market looking for organic growth versus you?
Dickerson Wright: Well, I think our outlook is still in the high single-digits. I can't really speak to the market because we do not do construction and those are very large projects. But on the pure consulting basis, we feel that it is still robust and our organic growth measured two ways, measured of course by the growth of each of our offices that we own and then through the acquisitions that we make that we can compare year-over-year. But we still see the high single-digits, I think we reported 8% this year and I don't think we're going to see much different than that. We had 5% I believe, Mike, In the quarter?
Michael Rama: Yes.
Dickerson Wright: We wish - what's surprising for December, because December is usually not that high. So we've - Rob, we're still expecting to see that same high single digit organic growth for 2019.
Rob Brown: And then in terms of the acquisition pipeline, what areas are you looking at, obviously energy has been a focus recently, but is energy still focus and how does that look for '19 and '20, in terms of the pipeline?
Dickerson Wright: Well energy, yes, it is still a focus, but just our organic growth in our energy and power systems delivery servicing and engineering has had an organic growth of 24%. So we still want to encourage that. We see a tremendous opportunity with LNG and LNG storage in the United States for many of the smaller utilities that are natural gas-fired, we really see an opportunity there. However, the overall strategy that we've had, as you know, Rob, and you've been following us for long time, we were building our platform of building those five pillars and now we could be much more strategic and strengthen those. So look for acquisitions that are more subscription reoccurring revenue, acquisitions that will enhance the specific platforms that we have, where we have a specific things that we're doing in technology, specific things we doing in energy and efficiency, both domestic and international. So, I would look for higher EBITDA acquisitions that support our existing platforms.
Rob Brown: And then, in terms of gross margin, in the quarter was down a little bit on a run rate basis, is that kind of a new level or should resume its historical level going forward?
Dickerson Wright: A very observant, we certainly like to say at 50% gross margin, I think we are 48.2% in the quarter, and a little down from historic. And I think, we are still seeing some of that in the - and Alex alluded to that in his comments. There is a - a flattening of the hospitality and casino market particularly in Las Vegas. So we saw some under utilization in that MEP group. But overall we see a higher growth that you will see, hopefully you'll see a higher growth in gross margin as we look to higher utilization and gross margin businesses in both acquisition and in our core business.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's question-and-answer session. I would now like to turn the call back over to management - I'm sorry.
Dickerson Wright: Let's ask - see if, let's give some more time if there's any more questions from anyone.
Operator: [Operator Instructions] Keith Rosenbloom with Cruiser.
Keith Rosenbloom: So I noticed that EBITDA margin on your net revenue was 16%, I think as you had guided and I think it was 13% on gross revenues as you had guide it, and for '18, which is great. And I'm curious about the guide for next year, it looks like you're projecting your revenue growth, which is pretty extraordinary at 20% and the adjusted EPS, I'm talking about midpoints is also a little lower at 15%. And I'm curious as to why there's that disparity, I would think that you guys would be kicking in operating leverage here and if you are growing revenues at such a high rate, you'd also get a greater EPS lift.
Dickerson Wright: Yes, very observant, Keith. And if it was linear, and if we could just bolt on those acquisitions then obviously fit scalability and it's exactly what you're referring to, it would be a higher EBITDA. But you heard that we have two initiatives that we funding this year the 2021 initiative and our energy initiative. Some of that will we prior resources and we're not expecting that to immediately return in a 16% EBITDA. So we have allowed a little cushion and so you may see the revenue growth sooner and then you'll see the EBITDA as we start - we'll increase as we start to scale those initiatives.
Keith Rosenbloom: So, the guidance, I think was ex-acquisitions. So you're saying that inclusive of the integration work for the acquisitions that you've just made, that's what's going to cause the - let's called the J-curve delay on earnings?
Dickerson Wright: No - well, a little bit of that, both. We gave guidance without any acquisition, so that revenue guidance that we're giving of $485 million to $520 million, we're expecting some of that to come from those two initiatives, the 2021 Energy Initiative and our Energy Efficiency Initiative and we're building that, we're supporting that corporate, we are staffing to build that. So we will see that revenue won't be come in as efficiently as revenue that we've been ongoing, doing for our normal core business. The acquisition revenue and scalability, I think it is a bit conservative, but I think we'd rather be a little bit conservative and not expect the immediate synergies in the acquisitions to kick in, and also see these initiatives kick in without giving it some support. So I think we're conservative there, but I think that, I'd rather be that way as we are growing our business internally.
Keith Rosenbloom: Well, thank you. So again really impressive organic and acquisitive growth, Dick.
Dickerson Wright: Thank you, Keith. Appreciate it. Appreciate your support and following us.
Operator: Our next question comes from Lisa Springer with Singular Research.
Lisa Springer: You gave a fairly wide guidance range for adjusted EPS in 2019. I'm wondering whether the differences and assumptions between the high and the low end of the range?
Dickerson Wright: Well, it's the beginning of the year.
Lisa Springer: Yes.
Dickerson Wright: So, I mean, we don't have this - I guess the divine in that prophecy, Lisa. So we feel that's a good range and hopefully from what we see at this point we'd rather have a little wider range on both of the revenue and the EPS because, we're just not even into the complete in the first quarter of 2019. So, I don't think we would get - we'll get tighter, of course, as we get further along in the year when we don't have as much runway to project.
Lisa Springer: And then you mentioned as recurring revenue is being something you want to build up? Could you tell me what percentage of revenues right now is considered recurring?
Dickerson Wright: Well, that's a great - the definition. I think that we do very much, a lot of good work with in ALTA surveys and reoccurring businesses and that through our Bock & Clark group. And we also have it through our Energy - and Energenz Group which is reoccurring and we're off - we're looking for through our MEP group, there is a significant amount of reoccurring revenue. But I would say that whole amount, it's about 18% of total revenue.
Operator: Our next question comes from [Richard Eisenberg].
Unidentified Analyst: I just want to know the material weakness in the accounting, is that the reason why the - for the lower - for the low guidance for 2019, like what - per share what's the amount per share that's for the material weakness?
Dickerson Wright: It's minuscule and if anything the material weakness, we look at something positive because in renewing these contracts, it is the material weakness and Mike will speak in more accounting terms of that, but the material weakness really was from our initial contract to how the contract is setup and then how is it invoiced. And what we found is that in many times where we could add accelerations or net fee multiplier - it was not being recognized. So, if anything, that what has been pointed out will strengthen our earnings and it was - it's cannot even be - it's so minuscule it cannot even be covered in earnings per share. We can get down to that because we don't get to that far of the decimal point.
Unidentified Analyst: No, but - you should have explained in your introduction because the market, the stock is dropping $7, probably because of that material weakness. You should have given a better explanation in your opening remarks.
Dickerson Wright: Well, thank you very much.
Operator: Thank you. Ladies and gentlemen, I would now like to turn the call back over to management for any closing remarks.
Dickerson Wright: Well, thank you everyone. We appreciate your listening to our fourth quarter and attendance and your questions. And I want to take this time first to thank our investors, thank those that are - that follow us. And also though to thank our employees who are truly in this together with us, our shareholder employees, all of us that know that we want to have a very transparent organization. We feel very strongly about 2019. We look forward to speaking to you further as we move further into the year, but we feel we have a very positive outlook for 2019, and we look forward to more opportunities to speak with you, and to work with you as we grow the business in 2019. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect and have a wonderful day.